Operator: Greetings, and welcome to the MRC Global's First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the call over to Monica Broughton of Investor Relations. Thank you. You may begin.
Monica Broughton: Thank you, and good morning. Welcome to the MRC Global First Quarter 2022 Earnings Conference Call and Webcast. We appreciate you joining us. On the call today, we have Rob Saltiel, President and CEO; and Kelly Youngblood, Executive Vice President and CFO. There will be a replay of today's call available by webcast on our website, mrcglobal.com as well as by phone until May 24, 2022. The dial-in information is in yesterday's release. We expect to file a quarterly report on Form 10-Q later today, and it will also be available on our website. Please note that the information reported on this call speaks only as of today, May 10, 2022, and therefore, you are advised that the information may no longer be accurate as of the time of replay. In our call today, we will discuss various non-GAAP measures, including net debt, adjusted gross profit, adjusted gross profit percentage, adjusted SG&A, adjusted EBITDA, adjusted EBITDA margin and adjusted net income. Unless we specifically state otherwise, references in this call to EBITDA also refer to adjusted EBITDA. You are encouraged to read our earnings release and securities filings to learn more about our use of these non-GAAP measures and to see a reconciliation of these measures to the related GAAP items, all of which can be found on our website. In addition, the comments made by the management of MRC Global during this call may contain forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of the management of MRC Global. However, actual results could differ materially from those expressed today. You are encouraged to read the company's SEC filings for a more in-depth review of the risk factors concerning these forward-looking statements. And now I would like to turn the call over to our President and CEO, Rob Saltiel.
Robert Saltiel: Thank you, Monica. Good morning, and welcome to everyone joining today's call. I will begin with a high-level review of our first quarter results, provide updates on each of our business sectors and segments, address 2 important topics and share our outlook for the remainder of the year. I will then turn over the call to Kelly for a detailed review of the quarter and our 2022 guidance before providing a brief recap. Our first quarter 2022 financial results were excellent on both the top and bottom lines and exceeded the guidance we provided on our February earnings call. Revenue came in at $742 million, up 8% sequentially versus the fourth quarter, led by double-digit growth in our upstream production and diet sectors. First quarter EBITDA was $48 million or 6.5% of sales as we continue to drive our focus on efficiency and our bottom line. As we progressed through the quarter, we saw increases in both customer activity and future spending expectations that set us up nicely for a stronger 2022. Gas Utilities continues to be our largest sector, and we experienced 5% sequential growth to $271 million, tying our highest revenue quarter ever for this business. We have spoken previously about how our customer spend is underpinned by safety and integrity projects as well as housing starts with both drivers independent of commodity pricing. We continue to add new customers to our portfolio, expand into new products and services for existing customers and increase the integration of our digital systems to improve efficiency. We reliably and cost-effectively purchase gas products for our customers to our large scale and global supply chain expertise and our value-added services make us a trusted partner to our customers and the leading distributor in the space. We anticipate continued strength in this sector as we move into the second and third quarters when field project activity by our gas utilities customers is at its highest. Our diet sector experienced a 12% sequential growth in the first quarter to deliver $226 million of revenue. This growth was underpinned by 3 key drivers. First, we saw strong demand related to previously delayed refinery turnarounds and maintenance impacted by the pandemic. This strong demand is expected to persist throughout the year. Second, our chemical strategy flourished as we increased market share with underserved customers and expanded our product offerings. And finally, our energy transition project activity increased at a much faster pace than expected. We are involved in multiple biofuel offshore wind and other green energy projects in the U.S. and overseas, both with traditional and new customers. This business is expected to continue its growth throughout 2022 and to become a substantial contributor to our revenue and profitability story in the coming years. Our upstream production sector experienced the highest sequential growth of any sector at 13% as well completions activity picked up in conjunction with rising commodity prices. We have positioned new fit-for-purpose product offerings in major U.S. basins to increase our market share with independent operators and are achieving early success. We believe that our traditional publicly traded customers will accelerate their investment activity in the second half of this year in response to price signals and geopolitical developments. Our midstream business, which is primarily oriented around gathering and processing assets was relatively flat in the first quarter. This business typically lags our upstream sector growth by 2 to 3 quarters. And with the rising backlog in this sector, we expect it to pick up as we move throughout the year. In the U.S., revenue increased 9%, led by the diet sector, which was up 18% due to higher turnaround and biofuels project activity. In Canada, we saw 8% sequential revenue growth due to increasing upstream and midstream activity with our extensive exposure to the Western Canada oil field. Our International segment revenue was relatively flat as gains in upstream activity were offset by declines in diet sector activity due to delayed projects. I now want to address 2 important topics relevant to our business. Since our last call, we have all witnessed the tragic images and loss of life in Ukraine following Russia's invasion. We know that the humanitarian toll trumps anything we can discuss regarding our business, but I will briefly address the war's effects both short-term and long-term on MRC Global. First, we have no operations or sales in Russia, Ukraine, or Belarus, nor do we have any significant suppliers from those countries. As such, we expect virtually no loss of revenue or supply chain impacts on our company as a result of this human tragedy. Longer term, we anticipate that the energy equation in Europe will be altered radically as sovereign security and energy security remain dominant themes. We expect that traditional energy investments in the North Sea and elsewhere in Europe will be required to mitigate the embargo of energy imports from Russia. LNG is likely to play a bigger role in the longer term to replace Russian gas through expansion of European regasification facilities. Renewable energy in Europe should also expand as relative economics and proximity compare favorably versus imported oil and gas. The U.S. and Canada oil fields are expected to play a bigger role in the European energy story by helping to supplant Russian imports. MRC Global's presence in each of these markets should enable us to assist this vital rebalancing of the world's energy flows over the coming years. The second topic I want to address is inflation. We are currently in the midst of the most significant inflationary period in decades. Rising cost of labor, materials and transportation have profoundly altered the cost of the products and services that we supply. Looking forward, we expect inflation to persist at least into the third or fourth quarter of this year. Inflation has several implications for our business. First, we have leaned into the recovery by forward purchasing much of our inventory, both to ensure adequate product availability and to get ahead of anticipated price increases by our suppliers. Second, our commercial teams have remained diligent in working with our customers to ensure that our margins are not eroded due to stale product and service pricing. Finally, we expect that SG&A costs will rise through this year as we provide competitive wages and benefits to our employees and increase our staffing to support anticipated growth. Kelly will provide more color on this in his section, but we anticipate that these inflationary issues are manageable and will be net accretive to our EBITDA margins in a growth environment. In addition to the strong revenue and EBITDA performance in the first quarter, we have continued to increase our backlog significantly, a sure sign of the continuing strength of our business. As of March 31, our backlog stood at $667 million, up an impressive 28% over year-end and the highest level we have seen since January of 2019. All 4 business sectors and each of our U.S., Canada and international segments achieved double-digit percentage backlog growth in the first quarter. Along with our optimistic business outlook for the remainder of 2022, these positive data points give us confidence that our full year financial results will exceed the guidance we provided in our February earnings call. Therefore, we are raising our full year revenue guidance by $100 million to $3.1 billion, and we are now targeting $200 million of EBITDA for the full year, which represents 6.5% of sales. We anticipate that 2022 will be an excellent year for our customers, our employees and our investors. I'll now turn the call over to Kelly to cover the financials for the first quarter and to provide additional details on our 2022 outlook.
Kelly Youngblood: Thanks, Rob, and good morning, everyone. My comments today will primarily be focused on sequential comparisons comparing the first quarter of 2022 to the fourth quarter of 2021, unless otherwise stated. Total sales for the first quarter were $742 million, an 8% improvement and above our previous guidance expectations. 3 of our 4 sectors grew during the quarter, led by the diet and upstream production sectors, which were both up double-digit percentages. Gas utility sales were $271 million in the first quarter, a $13 million or 5% increase as customer activity picked up after a typical year-end seasonal decline, and we expanded our product offerings with a key customer. In the diet sector, first quarter revenue was $226 million, an increase of $25 million or 12%, driven by increased refinery turnarounds and energy transition projects, primarily renewable biofuel projects in the U.S. The upstream production sector revenue for the first quarter was $158 million, an increase of $18 million or 13% sequentially. All geographic segments in this sector grew double-digits led by the U.S. and increased well completion activity, along with a general increase in activity as customer budgets reset at the beginning of the year all contributed to the improvement. Midstream pipeline sales, which are primarily U.S.-based were $87 million in the first quarter, consistent with the previous quarter. Midstream generally lags the upstream activity by a couple of quarters, and we continue to expect a double-digit improvement in our midstream pipeline business this year, supported by a backlog position that has increased 19% since year-end. Now I'll move to sales performance by geographic segment. U.S. revenue was $618 million in the first quarter, a 9% increase from the previous quarter, led by the diet sector, which was up $26 million or 18%, driven by increased turnaround activity from pent-up demand and an increase in renewable biofuel projects. The upstream production and gas utility sectors also increased by 12% and 7%, respectively, while the midstream pipeline sector was down 4% due to the timing of project deliveries. Canada revenue was $43 million in the first quarter, up $3 million or 8% as compared to last quarter, with improvement in 3 of our 4 sectors. The midstream pipeline sector increased $3 million as customer activity levels increased. The diet sector increased $2 million due to additional maintenance work, valve project orders and new market share. And the upstream production sector increased $3 million due to an increase in customer capital spending as market conditions have improved. International revenue was $81 million in the first quarter, a 1% increase from the previous quarter, driven by upstream production, partially offset by the diet sector. Upstream production increased as customer activity improved in Norway and the U.K. as a result of improved macro conditions and the diet sector decreased due to the timing of project activity related to pandemic induced delays. Now turning to margins. Adjusted gross profit for the first quarter was $152 million or 20.5% of revenue, 110 basis points lower than our all-time high in the fourth quarter as certain high-margin project orders did not repeat. However, compared to a year ago, it is 110 basis points higher as we continue to experience the benefits of inflation, our preferred supplier position and proactive supply chain management. There are various widely publicized pressures affecting the economy and ultimately, our product groups, including inflation, extended lead times, labor and supply constraints and increased transportation cost. We are not immune to these issues. However, inflation generally benefits our business, and we are professionals at managing the supply chain for both inflationary and deflationary pressures. Our supply chain expertise and inventory position has allowed us to navigate these pressures with little interruption, but will continue to be highly focused -- we will continue to be highly focused on monitoring these risks very closely over the coming quarters. Our gross profit percentage before adjustments was 18.3% in the first quarter, up 270 basis points compared to the fourth quarter primarily due to LIFO expense. And LIFO expense was $6 million in the first quarter and $30 million in the fourth quarter. Reported SG&A costs for the first quarter were $107 million or 14.4% of sales as compared to $106 million or 15.5% of sales in the fourth quarter. The first quarter included a $2 million benefit related to employee retention credits resulting from the Coronavirus Aid Relief and Economic Security Act, or CARES Act, and the taxpayer certainty and Disaster Relief Act. Without this benefit, SG&A expense would have been $109 million. The sequential increase in SG&A from an absolute dollar perspective was driven primarily by the restoration of employee benefits that had been previously reduced as a result of the pandemic. But as a percent of revenue, our SG&A costs are trending significantly lower. EBITDA for the quarter was $48 million or 6.5% compared to the previous quarter, which was $47 million or 6.9%. For the last 5 quarters, we have consistently improved EBITDA on an absolute basis, reflecting strong cost discipline and our ability to pass-through higher prices. And our margins have returned to pre-pandemic levels, although at a much lower revenue base, again reflecting our leaner and more efficient structure. Interest expense totaled $6 million in the first quarter, $1 million lower than last quarter on a slightly higher debt balance. Tax expense in the first quarter was $7 million compared to $1 million of expense in the fourth quarter, and our effective tax rate increased in the first quarter to 30% due to discrete items primarily related to share-based compensation plans. For the quarter, we had net income attributable to common share -- stockholders of $10 million or $0.12 per share, and our adjusted net income attributable to common stockholders on an average cost basis, normalizing for LIFO expense was $15 million or $0.17 per share. Our capital efficiency continues to improve and is better than historical averages as evidenced by our percentage of net working capital to sales, which was 16.3% at the end of the first quarter, a solid improvement compared to 18.5% in the same quarter a year ago. We used $13 million of cash from operations in the first quarter as we increased our inventory position due to the anticipated improvement in activity levels. Capital expenditures were only $2 million in the first quarter, but we continue to expect our full year 2022 capital spend to fall within a range of $10 million to $15 million as we invest in e-commerce, system upgrades and facility improvements. Our total debt outstanding at the end of the quarter was $303 million, a $6 million increase from year-end due to timing of draws under our ABL. Our leverage ratio based on net debt of $272 million was 1.6x. This is a significant improvement over the last 12 months when our leverage ratio was 2.9x. We expect to make further progress in our leverage ratio as our EBITDA continues to grow due to the anticipated market recovery. We ended the year with availability under our ABL facility of $514 million and $31 million of cash for a total liquidity position of $545 million. Our backlog position continues to signal solid growth momentum. This is the third quarter where our backlog has been up double-digits with the U.S. returning to 2018 levels, and the U.S. backlog was up 32%, led by the diet sector, which was up 44%. Compared to the same period a year ago, total company backlog is up 73%, with every sector and segment up significantly. Although the timing of when the backlog translates into revenue can fluctuate, this significant improvement gives us confidence of continuing growth in the coming quarters, which brings me to our outlook. As Rob discussed earlier, we are raising our full year 2022 guidance, and we are now projecting our revenue to come in at approximately $3.1 billion or 16% growth with EBITDA at $200 million or 6.5% of sales, a 100 basis point improvement compared to last year. From a total company perspective, this translates to a double-digit improvement in all sectors, including diet, which we previously guided to be up only upper single-digits. And from a geographic view, we expect the U.S. and Canada to increase double-digits and international to increase mid single-digits. SG&A as a percentage of sales for the full year is expected to average in the mid-14% range, but may fluctuate slightly by quarter. On an absolute basis, we expect our SG&A cost to range between $111 million and $113 million in the coming quarters as we restore employee benefit plans impacted during the pandemic. And because of the higher activity levels, we anticipate hiring additional resources. Our normalized effective tax rate for the year is projected to be 24% to 26%, but could fluctuate from quarter-to-quarter due to discrete items. With the expected increase in activity levels, we will continue to increase our inventory position, and currently, we expect to have a usage of cash in the second quarter, but we expect to generate similar or modestly higher operating cash flow for the full year 2022 compared to 2021. Excess cash will continue to be prioritized towards balance sheet strength and growth in the business. As we look at the cadence of revenue throughout the year, there is nothing to suggest that our quarterly revenue won't follow the typical seasonality. We expect each quarter to improve upon the other with the exception of the typical seasonal fourth quarter decline. And specific to the second quarter, we are currently projecting a high single-digit increase in revenue. Now I will turn the call back over to Rob for closing comments.
Robert Saltiel: Thanks, Kelly. I want to summarize a few highlights from our call today before opening for Q&A. Our impressive first quarter performance in a rapidly growing backlog of business has increased our confidence in our 2022 outlook. Each of our 4 business sectors is expected to grow revenue by double-digit percentages in 2022 versus 2021. Our U.S. and Canada businesses are expected to grow by strong double-digit percentages and our international business is expected to grow by mid-single digits. Our energy transition in chemical subsectors represent 2 areas of significant future growth that align well with our capabilities, customer and supplier relationships and geographic presence. And finally, we now expect that MRC Global will achieve $3.1 billion in revenue and $200 million in EBITDA in 2022 and that we are in the early innings of a multiyear up cycle for our business. And with that, we will now take your questions. Operator?
Operator: [Operator Instructions] Our first questions come from the line of Cole Couzens with Stephens.
Cole Couzens: First thing I want to ask about today is related to your energy transition business. Is there anything in particular that you'd highlight that gives you confidence in your right to win with existing or potential customers? And can you provide any color around the number of projects tracking or dollar potential to help us quantify the opportunity here?
Robert Saltiel: Yes, I'd be happy to, Cole. Our energy transition business is really off to a great start here in 2022. And as we said in the prepared comments, a lot of that has been around biodiesel, renewable fuels here in the U.S. and abroad. And if you think about it, a lot of these projects involve conversion of existing petroleum-based refineries into processing centers that take different feedstocks, things like animal fats or natural oils. And because the equipment that we provide, the PBF is similar because we have relationships with a lot of these customers already, we're very well positioned to win these projects. And a lot of these projects are still in the early phases yet. We haven't necessarily taken all of the project wins into revenue, but they become part of our backlog. And as Kelly and I both mentioned in our comments, our backlog has been growing nicely. It's been growing very nicely in the energy transition space as well. And that's both here and internationally. Just to give you a sense, about half of our backlog is in the international markets and the other half is here in the U.S. So we're really seeing broad-based support for the energy transition business. You asked us about the number of projects that we're currently tracking. It's in the dozens. But keep in mind that these projects stretch out to the 2024, 2025 time frame. And so we'll not come to fruition over the next, let's say, 3 to 4 quarters. But in the near term, we see significant project activity and significant backlog build that gives us confidence that the previous guidance that we gave around energy transition coming in maybe $40 million to $50 million for this year, we could even do double that potentially, depending on the timing of the projects. And of course, there's some uncertainty with that. But we've become even more bullish on the energy transition space just as we move here into 2022, and we positioned ourselves for success, as I mentioned, with many of our traditional customers with a principal focus around the bio and renewable diesel.
Cole Couzens: For my second question, with leverage sitting at about 1.6x and as you continue to delever, what's your highest priority for capital deployment?
Robert Saltiel: Well, I'll take this to start, and then I'll kick it over to Kelly. But look, we've done a tremendous amount of work over the past 1.5 years to improve our balance sheet and really take our leverage ratios down. As Kelly mentioned in his comments, it wasn't very long ago, we had a leverage ratio approaching 3x. And now we're down at 1.6x. We think that having a strong balance sheet is an asset for MRC Global. And we believe that, that gives us more financial flexibility and strategic flexibility to the extent that we pursue inorganic opportunities going forward. So our initial priority is going to be to continue to improve the balance sheet, get the leverage ratio down, really get through this year. And then as we look forward and as we've predicted that we're in a multiyear up cycle, then we can look at different forms of capital allocation in the future. But right now, as we think about 2022, certainly through the remainder of this year, it's about reducing that leverage ratio, really making sure that we've got adequate financial flexibility to move into the future. Kelly, you want to add to that?
Kelly Youngblood : You covered it well, Rob. The only point, if you model this out to and look even at the end of this year with the guidance that we provided, our leverage ratio goes from the 1.6x, which is actually a record for the company. It should start drifting down closer to 1x by the -- with exiting this year. And with the growth that we expect in the coming years, that's going to get even below 1x. And so very, very strong balance sheet, the best position we've ever been in.
Operator: Our next question is come from the line of Kenneth H. Newman with KeyBanc.
Kenneth Newman : Curious if you could just give a little bit more color on the international business and the guidance for the year. I think you're looking for that segment to be up mid single-digits for the year. Can you just help us think about the cadence of that business ramping? And just given the weaker activity that we saw in the first quarter, should we expect the second half to be a much larger type of growth ramp to kind of meet that guidance? And then any puts and takes on that business as it relates to just margin impacts as it -- given the environment in Europe?
Robert Saltiel: Yes. I'll start and I'll let Kelly chime in with some of his ideas. But if you think about the international business, it's primarily a project business for MRC Global. And as such, it has a tendency to have a longer lead time from a concept to a realization of revenue. And as I think all of us are aware, the international markets recovered more slowly and later than the U.S. market coming out of the pandemic. So what really happened in 2020, 2021 is we worked off a lot of backlog of projects that have previously been in the queue. And as we came into 2022, we really were in a mode of rebuilding that backlog, which would turn into revenue, call it, 3 to 4 quarters out. Just to give you a sense here, our -- we talked about the overall backlog increase for the company from quarter-to-quarter being in this 28% range for the -- that's very similar to what we saw for the backlog increase in international. And international now is building that backlog really winning some impressive opportunities to do projects, primarily in the upstream and downstream segments. There's a lot of activity planned with what's happening in Eastern Europe for improvements in the oil and gas production there in the Central North Sea and the Norwegian North Sea. So some of the major players in those markets have announced investment plans, refurbishment programs, extension of life of assets in the North Sea and Norwegian Sea and so we're going to play in that in the European markets in which we operate. And then on the downstream industrial energy transition side, we're seeing a return to refinery maintenance and turnarounds also with the chemical industry as well where we can play. And then as we talked about before, the energy transition is a great opportunity for us in those international markets as well. I will say a couple of comments about the margins there. That business tends to be a business that is heavily valve-focused and as such, tends to be higher on a gross margin basis. And looking forward, we really see that business starting to really manifest itself on the revenue side and earnings side starting in '23. '22 is really more of a year to build back the backlog for realization in the future. That's why we've been guiding upper mid single-digit percentage improvements on international, which is the lowest of the 3 segments that we've got. So it will improve throughout the year, but the real opportunity to see significant growth in revenue and profitability will start in 2023. Kelly, you want to add to that?
Kelly Youngblood : Yes. Just maybe a couple of points. I mean, just maybe to help you, Ken, with modeling. You're exactly right. Q1, we were kind of flattish on the international side. But both Q2 and Q3, we expect double-digit improvement for international. And then maybe a seasonal decline in Q4 and then you net all of that out, you get to that mid single-digit improvement year-on-year. But then just to echo what Rob said, if you look at the strong double-digit improvement in backlog that we've been experiencing, that sets us up very nicely for a double-digit type market in 2023. So very optimistic about the coming year for international.
Kenneth Newman : And then for my follow-up, just switching over to the backlog a little bit. Obviously, you're seeing some improved growth there. And maybe just talk a little bit more holistically outside of the international business about the trends of the margin profile for that backlog? Are they kind of consistent with what you're expecting? When I look at the increase of your guide, I think the -- from the prior range, I think it implies an incremental EBITDA flow-through of around 10% I would think that would be a little bit higher given how optimistic you are on the profitability of the business going forward. So maybe just talk a little bit about discrepancies on margin profile in the backlog versus maybe the expectations for the rest of this year?
Robert Saltiel: Yes. Good question. Look, there's no difference in the margin outlook for the backlog versus what we're seeing in the current revenue base. We discussed a lot internally about the rising guidance we're providing and the fact that we move the revenue up $100 million and the EBITDA of $10 million, you shouldn't read anything into that. We've done a tremendous job of improving our flow-through over the last year, our incremental EBITDA margins are in the high double-digits just year-to-year. And really, at this point in the cycle at these levels of revenue, you ought to think about 10% to 15% as being kind of a guidance for incremental flow-through of EBITDA from revenue adds. But you really shouldn't read anything into that discrepancy that you're pointing out. We may be a little conservative in our EBITDA outlook. We did say in our prepared comments that we are in inflationary times. We think we've got that well underway. But I think what we've seen over the past 12 months, whether it's geopolitical, inflationary oil price, we've seen some surprises. And I think this team is certainly comfortable with the $200 million EBITDA target. Could we do better than that? Yes, but you shouldn't read anything into any kind of the margin outlook for doing the math that you're pointing out.
Kelly Youngblood : Ken, I was just going to add one other comment on that. If you compare the guidance on guidance, you're exactly right. It's a 10% flow-through. But when you really project out our new guidance for '22 versus the actuals in '21, I think you'll see that the incrementals are going to be at a higher rate, closer to the mid-teens level, which is more common for us.
Operator: Our next questions come from the line of Nathan Hardie Jones with Stifel.
Adam Farley : This is Adam Farley on for Nathan. So adjusted gross margins were maintained above 20% for the third consecutive quarter. Do you believe it can continue to generate gross margins above 20% this year? And then longer term, mix should be a tailwind overall. So what do you think gross margins can be longer term as well?
Robert Saltiel: Yes. I'll start this one and then let Kelly jump in. But look, we've said before that when we're in inflationary times, that's a tailwind for us in the sense that the market price exceeds the average cost of what we have in inventory. I'll say a couple more things about that. Our team has done a really good job of -- and this is our supply chain team of really peaking around the corner and seeing where pricing is going. And in addition to that, knowing that availability due to some of the logistics challenges could be a further challenge to growing our business, we leaned into this recovery and ordered a lot of product early on. So as a result of that, we've got lower sort of historical basis pricing than you might expect in this market because we got ahead on our orders, and we got ahead of some individual price increases. And with the outlook for pricing, certainly to hold or even go higher from here as we look out over the next kind of 3 to 5 quarters, we certainly believe that the gross margins will be at the current levels that we've been guiding because of the work we've done and the general outlook. The biggest risk to our gross margins really would be if you had a period of significant deflation that would then have market prices lower than, let's say, our average cost. We certainly don't see that happening in the foreseeable future. But I will say this, we continue to monitor our inventory levels and monitor the markets for the products and the raw materials and everything else that goes into the products that we supply. And if we see changes coming that portend maybe a back off in inflation or potential for deflation, we can adjust our purchasing at that point. I'll say one other thing, and before I turn it over to Kelly, and that is that our team has done a good job as well in making sure that our pricing updates with our customers are done in a timely fashion. We have a lot of our business governed through contracts. And it's really important, as I mentioned in my prepared comments that we don't have stale pricing. So as the cost of our supplies go up, we've got to make sure that there's a pass-through of that in a timely basis to our customers just to maintain margins. And I will say that our team has done a great job of that. Our customers understand the inflationary effects because they're seeing it in everything that they purchase. And as long as we continue to do those things, we think our gross margin outlook is certainly intact. Kelly?
Kelly Youngblood : Yes, Rod, you covered it well. The only -- maybe just to point out that we touched on it a little bit earlier, but with the international business improving, which is heavy downstream and heavy valve content, that's accretive to margins. And so that will be a nice tailwind for us in the overall mix. I also think our chemical strategy and the growth that we expect there with some of the products that we have, stainless products or higher content in that market, which are accretive to overall gross margins. And then I just think the market overall improving should allow hopefully for better pricing as we move forward. So all of those tailwinds will hopefully more than offset any deflationary factors that we start to see in the -- later this year or next year.
Adam Farley : Okay. And then turning to upstream, which continues to grow but sequentially and year-on-year. With DUCs declining to historically low levels, does this inhibit further growth until we start to drill more? And what are some of your customers saying about their plans to ramp up CapEx spending in the upstream, especially with your exposure to the bigger players and like the IOCs?
Robert Saltiel: Yes, I'll take this one. Look, I just got back from a trip to the Permian Basin and a part of that was in Canada, visiting customers in both areas. And consistently, customers are telling us that their previous production guidance is likely to bump a little higher as they see the more sustained high oil prices, and they can continue their discipline with regard to improving their balance sheet and returning value to shareholders and at the same time, potentially increasing their production. Obviously, with the DUC counts being at multiyear lows, drilling activity is going to have to pick up because our business, as you know, is focused on really the completions work. But the customers that we talk to really are planning for a very active second half of this year where they're going to be working to increase that production through -- obviously, through drilling and completions. And I think you're seeing that through a lot of the activity measures in the major U.S. basins. But with the outlook for oil prices, gas prices, really the call on North American and European energy to replace a lot of the energy that would have previously come from Russia. We think we're in a -- as we said, a multiyear up cycle, we think this upstream business is going to be strong throughout this year and into next year, and we're very excited about the growth prospects as we move through 2022.
Operator: There are no further questions at this time. I would now like to turn the call back over to Monica Broughton for any closing comments.
Monica Broughton : Thank you for joining us today and for your interest in MRC Global. We look forward to having you join us for our second quarter conference call in August. Have a good day. Thank you.
Operator: This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.